Operator: Good afternoon, and welcome to the Universal Technical Institute’s Q1 2025 Earnings Conference Call. [Operator Instructions] Please also note, today’s event is being recorded. At this time, I’d like to turn the floor over to Matt Kempton, VP, Corporate Finance and Investor Relations. Sir, please go ahead.
Matt Kempton: Hello and welcome to Universal Technical Institute’s fiscal first quarter 2025 earnings call. Joining me today are our CEO, Jerome Grant; the Interim CFO, Christine Kline. Following our prepared remarks, we will open the call for your questions. A replay of this call, its transcript and our investor presentation will be archived on the Investor Relations section of our website at investor.uti.edu, along with our earnings release issued earlier today and furnished to the SEC. During this call, we may make comments that contain forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995, which by their nature, address matters that are in the future and are uncertain. These statements reflect management’s current beliefs and expectations and are subject to a number of factors that may cause actual results to differ materially from those statements. These factors include, but are not limited to, those discussed in our earnings release and SEC filings. These statements do not guarantee future performance, and therefore, undue reliance should not be placed upon them. We do not intend to update these forward-looking statements as a result of new information or future developments, except as required by law. Please note, unless otherwise stated, all comparisons in this call will be against our results for the comparable period of fiscal 2024. The information presented today also includes non-GAAP financial measures. These should be viewed in addition to and not as a substitute for, the company’s reported results prepared in accordance with U.S. GAAP. All non-GAAP financial measures referenced in today’s call are reconciled in our earnings release to the most directly comparable GAAP measure. For more information regarding definitions of our non-GAAP measures please see our earnings release, financial supplement and investor presentation. With that, I will turn the call over to Jerome Grant, CEO of Universal Technical Institute for his prepared remarks. Jerome?
Jerome Grant: Thank you, Matt. Good afternoon, everyone and thank you for joining us to discuss our results for the first quarter of 2025. As we continue to execute on our growth, diversification and optimization strategy, we delivered another quarter of outperformance by exceeding expectations across all key metrics. For this, I want to sincerely thank our divisional and corporate teams, along with our partners and students for their exceptional efforts and dedication to delivering strong results, time and time again. With that, let’s jump into the results for the quarter. Revenue for the quarter grew over 15% year-over-year to $201.4 million. Average full-time active students increased 11% year-over-year to 25,062 students. Net income increased $22.2 million with diluted earnings per share of $0.40. Adjusted EBITDA improved an impressive 45% year-over-year to $35.5 million. Total new student starts increased year-over-year by over 22% for the quarter. So what’s driving these strong results? First, top line performance exceeded our expectations across both divisions. On the Concorde side, we continue to make higher strategic investments in our marketing and admissions efforts, which led to very strong student start performance for the quarter. We will continue investing in our Concorde marketing and admissions teams to continue to improve results. On the UTI side, our first two starts for the quarter were exceptionally strong, which we believe was primarily the result of deferrals from the fourth quarter due to FAFSA delays. As the quarter progressed, our remaining starts performed according to plan. Looking at the bottom line, in addition to our overachievement on revenue, we did not spend as much as we initially expected to on some specific transformation initiatives planned in the quarter. This was a result of shifting some of these into the second quarter. That said, we do anticipate our initiative spend increasing in the second quarter and then normalizing throughout the rest of the year. Overall, we’re very happy with the results we’re reporting today, and we remain confident in our ability to deliver both year-over-year top and bottom line growth throughout the balance of 2025. Now I want to briefly take a moment to express how incredibly proud we are of our students, faculty and staff for their unwavering dedication to supporting those impacted by the California wildfires. Their efforts, whether through organizing food drives, spearheading fundraising initiatives or volunteering their time, truly exemplify the values we hold as an organization. This collective commitment to making a difference highlights the strength of our community and our shared purpose of coming together to help those in need during these difficult times. For the most part, we had limited impact to our Southern California campuses during this tragic event. While there was a slight dip in attendance during the most challenging periods due to significant disruptions in commuter patterns, we’re pleased to report that this did not impact operations. Our thoughts remain with those who’re affected, and we will continue to support our community through these challenging times. From a regulatory standpoint, we are encouraged that the new administration has expressed an interest in reducing regulatory burden and believe any changes that fairly compare schools of all types based on outcomes will contribute to the more favorable regulatory environment for us. While the specifics regarding the Department of Education remain unclear, I’m hopeful that the administration will focus on student outcomes and helping schools expand in areas where employment demand is extremely high. That said our attention remains firmly on the factors within our control. And we are unwavering in our commitment to achieving strong student outcomes. Lastly, before diving into each division’s details, we’re making great progress on our CFO search. Our elevated company profile has certainly expanded the available talent pool, and we’re highly confident in finding an exceptional candidate for the role. We look forward to providing an update in the coming months. Turning to divisional specific highlights for the quarter. The Concorde division continues to deliver strong results with consistent year-over-year growth. The positive top line results are primarily due to our marketing investments as we continue to focus on maximizing the performance of our Healthcare division. Moreover, the increasing effectiveness of our admissions team remains a key driver of growth across the division as well. As for Concorde’s program expansion strategies, we remain on track to launch 10 cash pay short course programs across the Concorde campuses in 2025. Our new nursing program in Jacksonville, Florida, also remains on track to launch in mid-fiscal 2025, and the Dallas nursing program capacity increase is still on track to begin in fiscal 2025, which will increase our capacity by an additional 60 students. Turning to our partnerships. As we noted last quarter, we’re progressing on Concorde’s partnership with Heartland Dental to construct a new co-branded campus. This project is still on track to open in early fiscal 2026 and will initially launch as a non-Title IV campus for dental assistants and hygienists. When Concorde’s growth restrictions are lifted, we plan to seek approval to offer Title IV funding as well. As a reminder, we anticipate this campus will add more than $4 million in annual run rate revenue as well as contribute to Concorde’s EBITDA margin expansion as it scales. We look forward to keeping you updated on this partnership as it progresses. Now on to our UTI division. The UTI division also continued to deliver year-over-year growth, driven by expanded programs and increasing market demand for skilled to collared workers. Our HVACR programs continue to ramp nicely across our campuses in Avondale, Long Beach and Bloomfield. As we discussed on our last call, of the 9 full length programs we’re launching this year across both divisions, we expect 8 of those to be on existing UTI campuses. Also, as previously discussed, we plan to open 3 campuses in 2026, subject to regulatory approval, of course. With the upcoming Concorde-Heartland co-branded campus marking the first of these, we’re pleased to have recently announced the second location, which will be a fully optimized UTI campus with a comprehensive set of program offerings in the northern suburbs of Atlanta, pending regulatory approval. From an optimization standpoint in Q1, we completed the unification of 2 separate Houston campuses into a single consolidated campus. This strategic move was designed to drive operational efficiencies, reduce overhead and create more streamlined learning environment for our students. The consolidation is part of a broader effort to optimize UTI campuses for greater success in delivering quality education. This was a significant project that required a big lift from our team and will ultimately deliver an enhanced margin profile for this combined campus. I’m very proud of what we were able to accomplish in this front and appreciate all who are involved. We also still anticipate that by the middle of the fiscal year, our MIAT Canton campus, along with Motorcycle Mechanics Institute, Marine Mechanics Institute and NASCAR Technical Institute campuses will all officially operate under the Universal’s Technical Institute brand. I also want to highlight our Canton campus for being recognized by the Michigan Veterans Affairs Agency as a Veteran-friendly institution. The agency’s award reflects our commitment to supporting veterans by providing conducive environment for their education and career transition. Turning now to partnerships. Just this morning, we were excited to share that we have added Tesla to our successful manufacturer-specific advanced training programs. Beginning in the spring, UTI’s Long Beach campus will offer Tesla’s start program for collision repair. We continue to expand our partnerships across the two divisions, and this collaboration is a testament to our commitment to innovation and ensuring that our programs remain relevant and impactful in today’s evolving landscape. Building on all this great work being done by both of our divisions, I am happy to report that we are raising our guidance ranges for fiscal 2025. We now expect to generate consolidated revenue between $810 million and $820 million, reflecting approximately 11% increase year-over-year. We now anticipate adjusted EBITDA between $122 million and $126 million, and we are raising our expectations for new student starts to be from 28,500 to 29,500. Christine will provide more details on our fiscal 2025 guidance in just a bit. As we continue into 2025, I want to remind everyone that we are officially in Phase 2 of our multiyear North Star Strategy. I’d like to take a moment to reiterate just what this entails. As previously communicated, we are committed to launching a minimum of 6 new programs each year across Concorde and/or UTI campuses, pending the necessary regulatory approvals. Additionally, we’ve outlined plans to open at least 2 new campuses annually starting in 2026. It’s worth noting, we announced 9 new programs in 2025 and 3 new campuses in 2026, which demonstrates we are on track to meet or exceed both objectives and will continue to work diligently towards successful completion. Further details on this strategy can be found in our investor deck on our website. Overall, we are proud of the substantial growth we’ve achieved across both divisions, and we believe we are well positioned for continued success in the quarters and years to come. With that, I’ll turn the call over to Christine Kline, our interim CFO, to review the first quarter financial results. Christine?
Christine Kline: Thank you, Jerome. We kicked off fiscal 2025 with another quarter of strong results across the board. For the first quarter, average full-time active students increased 11.1% year-over-year to 25,062 students. New student starts increased 22.3% year-over-year to 5,313 starts exceeding our expectations. The Concorde division drove a 16.4% increase in average full-time active students compared to Q1 ‘24. New student starts increased 26% in the first quarter, which was primarily the result of investments we’ve made within the division to bolster our marketing and admissions efforts and improved performance by Concorde’s marketing and emissions teams. The UTI division generated an 8% increase year-over-year in average full-time active students for the quarter, while new student starts grew 19% year-over-year in the first quarter. Contributing to this growth was the impact of start deferrals from the fourth quarter, primarily due to FAFSA delays which shifted several students into the first 2 starts of the first quarter. We experienced more normalized levels of growth throughout the remainder of the quarter. Turning to our financial performance. First quarter revenue on a consolidated basis increased 15.3% year-over-year to $201.4 million. Concorde contributed $70 million, an increase of 17.9% over the prior year quarter while the UTI division contributed $131.5 million, an increase of 14% over the prior year quarter. From a profitability standpoint, consolidated net income for the first quarter was $22.2 million or $0.40 per diluted share. Adjusted EBITDA for the first quarter was $35.5 million, a year-over-year increase of nearly 45%. As Jerome discussed earlier, we shifted some of our strategic initiatives planned for the first quarter into the second quarter, which led to lower-than-anticipated spend for the period. This change in expense timing combined with the growth in average full-time active students and revenue overachievement drove outperformance on our bottom line. As we remain committed to our ongoing strategic initiatives planned for this year, we do still expect to spend those investment dollars throughout the remainder of the fiscal year. At the end of the quarter, we had 54.4 million shares outstanding. Total available liquidity at the end of the quarter was $246 million, including $74 million of remaining capacity on our revolving credit facility. We also paid down an additional $5 million on our revolver in the first quarter, ending with positive net working capital of $28.5 million. First quarter 2025 operating cash flow was $23 million, and adjusted free cash flow was $18.9 million. Year-to-date, capital expenditures were $3.3 million which was below our original expectations due to timing. However, we still expect to spend approximately $55 million in total CapEx this year. Building on our consistent execution and the strong momentum so far this year, we are raising the guidance ranges we set for fiscal 2025. Starting with revenue, we are raising our expectations to between $810 million and $820 million for fiscal 2025 or approximately 11% year-over-year growth at the midpoint. This reflects the Q1 increase in average full-time active students from the program additions across both divisions, with total new student starts in fiscal 2025, now expected to range between 28,500 and 29,500. Following this higher revenue growth in Q1, we now expect growth in the upper single digits in Q2, followed by double-digit growth in the remaining quarters. For starts, we anticipate double-digit growth in Q2, with mid- to low single digit start growth each quarter thereafter. For fiscal 2025, we are raising our net income expectations to a range of $54 million to $58 million with diluted earnings per share projected between $0.96 and $1.04. We expect 2025 full year adjusted EBITDA to now range between $122 million and $126 million or around a 20% year-over-year increase at the midpoint. While we are pleased with our adjusted EBITDA performance this quarter, the bulk of the outperformance is attributed to the end-year timing of our various initiative investments. Consequently, we anticipate that adjusted EBITDA will normalize throughout the year as we make these strategic initiative investments. Further, we still expect to incur the necessary growth expenses to drive our North Star Strategy during fiscal 2025 and 2026. We anticipate 2025 full year adjusted free cash flow to now range between $60 million and $65 million, which continues to assume approximately $55 million in CapEx spend. We still expect the bulk of our cash generation and year-over-year growth to materialize in the fourth quarter, consistent with our historical cadence. Looking further ahead, I’ll also reiterate our collective excitement as we enter Phase 2 of our North Star Strategy this fiscal year. We’re executing on our growth investments for fiscal 2025 and as discussed previously, expect to see those investments increase in the next few years as we continue to add new programs in campuses. It’s important to reiterate that as we advance through the next few years of our growth strategy and continue to strategically invest at both Concorde and UTI, both our CapEx and strategic investments will grow materially. As always, in addition to this earnings call transcript, we encourage everyone to review our press release, financial supplement and investor presentation as well as the 10-Q once it is filed. These materials include the most current information on our consolidated and segment actual results, our strategic road map and our guidance. Thank you to our students, team, partners and investors for their ongoing support. I’ll now turn the call back over to Jerome for closing remarks.
Jerome Grant: Thank you, Christine. Looking ahead, we’re excited to continue this next phase of our journey. In addition to continuing our relentless focus on execution, optimization and driving student outcomes, our organic growth initiatives continue to revolve around: one, working towards expanding our campus footprint into greenfield geographies; two, broadening the reach of existing programs and adding new in-demand offerings; and three, growing our partner network and deepening industry relationships. Inorganically, our efforts remain focused on opportunistically exploring strategic acquisition opportunities with an emphasis on enhancing our presence in health care with in-demand programs that will complement our Concorde portfolio. As we’ve moved into the post-election environment, I’m pleased to report that we’ve seen a notable uptick in activity on the M&A front, and we’re excited about the increase in opportunities that have been presented to us. As I noted earlier, we’re proud of what we’ve accomplished once again this quarter and remain excited about the future. The demand for skilled professionals is growing, and we are well positioned to continue driving momentum in supporting the next generation of skilled collared talent. We have a strong plan in place, a notable track record of execution and a very healthy financial profile to continue delivering shareholder value in the years ahead. We appreciate your ongoing support and look forward to sharing more about our exciting progress. As always, we are happy to host campus tours and provide a closer look at the impactful initiatives we are pursuing. So, please feel free to reach out if you would like to visit. I would now like to turn the call over to the operator for Q&A. Operator?
Operator: [Operator Instructions] Our first question today comes from Alex Paris from Barrington Research. Please go ahead with your question.
Alex Paris: Thank you and thank you for taking my questions and hearty congratulations on a strong start to the new fiscal year.
Jerome Grant: Thanks Alex.
Alex Paris: Yes. Thanks. First question on new campuses, so just to be clear, the first one was the co-branded campus with Heartland. The second campus was just announced, I think it was this morning. Atlanta, I just wanted – is that the first campus that you guys are going to have in Georgia?
Jerome Grant: It is.
Alex Paris: Okay. So, it’s not only a new campus, but it’s a new state expansion as well.
Jerome Grant: Yes. It’s completely greenfield for us. We see a lot of opportunity, job growth, the demographics are great in that area, and we found what we believe is a fantastic location. So, we are really looking forward to it. And as we said in the prepared remarks, this will be optimized comprehensive set of UTI products, auto, diesel and the full skilled trades complement.
Alex Paris: Great. So, my question is the third, which is not yet announced. Is that targeted to be a UTI campus, Concorde or we just don’t – you are just not telling us yet?
Jerome Grant: Well, it’s a UTI campus. As we have also outlined in our past notes, we are not going to be able to open any Concorde campuses likely until 2027, due to the growth restrictions from the merger that we had. So, these first two in ‘26 are UTI campuses. Of course, the Heartland-Concorde co-branded campus is able to open because it is a non-Title IV entity initially.
Alex Paris: Got it. And the third campus, would that be a greenfield state, or would that be an additional campus in an existing state.
Jerome Grant: Well, hold tight there, we are pretty close to being able to announce it. We would like to get a couple of things across the finish line before we put an exact location in. But we won’t keep you waiting much longer, Alex.
Alex Paris: Okay. Thank you. And then a question about the North Star 2 strategy, you have given us targets for fiscal 2029, which among other things, includes about 600 basis points of adjusted EBITDA margin expansion from roughly 14% last year to nearly 20% in fiscal 2029. I got to assume, with this level of new campus activity as well as this level of program expansions, that expansion won’t necessarily be linear. Am I right on that?
Jerome Grant: No, it definitely won’t be linear. There will be a contour to the expansion. You will see more strategic investment in ‘25, ‘26 and ‘27 as we are beginning to invest in the ‘26, ‘27, ‘28 campuses, and they then become accretive in ‘27, ‘28 and ‘29. So, you will see a bit of a bend in terms of our EBITDA trajectory in ‘26 moving into ‘27. But then as these tranches of campuses and programs take off, that’s when you really see the acceleration ‘28, ‘29.
Alex Paris: Great. That makes sense. And then last question is sort of what you were saying towards the end of the call, the M&A, the M&A pipeline, the activity post election. You said you are looking primarily on the healthcare side, primarily to add to the Concorde offerings. What other color can you offer us there? Are you looking for allied healthcare, nursing, graduate programs?
Jerome Grant: As I have said on – Alex, it’s a great question. As I have said on previous calls is that, the Concorde acquisition got us a strong portfolio of allied health, meaning non-nursing healthcare disciplines and programs and dental. And what we didn’t get was a lot of nursing students. Well, nursing only on 2 of our campuses, of their 17. And so one of the things we have also said is that we would like to be a larger player in the nursing markets. And so that’s a primary focus. It doesn’t mean that any of the targets that we look at don’t have allied health along with nursing. But the primary focus would be in a sense to fill out the portfolio across all of the healthcare fields. And of course as you know, the largest and fastest growing really is nursing. And so we are paying a particular focus there right now.
Alex Paris: Great. That’s good color. Thanks. Thanks for that Jerome and I will get back in the queue.
Jerome Grant: Sure. Thanks Alex.
Operator: Our next question comes from Eric Martinuzzi from Lake Street. Please go ahead with your question.
Eric Martinuzzi: Yes. I wanted to follow-up on the Atlanta new campus investment. I thought – I was thinking in the 100,000 square foot was sort of a footprint that you guys were targeting for these new UTI locations, and I saw Atlanta at 150,000 square foot. Was that just that was the space that was available within the right area, or was that roughly the goal all along.
Jerome Grant: No. The goal is to be somewhere around 110,000 square feet, 115,000 square feet, is what we see as our new optimized campus. What we mean by optimize is, is a campus that not only has the transportation, auto, diesel and welding in it, but also has the rest of what came to us by way of the MIAT acquisition. So, the electronic suite of four programs as well as welding, HVAC, aviation, etcetera. So, you see all of that in that square footage. You are right, the inventory of space available, this place is a little larger. But when you – if you look at it, what it gives us an opportunity to view is take advantage of increasing capacity in some of these skilled trades areas where we are already seeing that we are seeing very, very high demand. And it also gives us the opportunity potentially to put some of our manufacturer specific programs in which aren’t in the original optimized model. We are really excited about the location and the opportunity in this new state. And I think we are going to fill that space nicely.
Eric Martinuzzi: Okay. And then on the guide, based on your comments, Christine, for the second quarter, you talked about upper-single digits. So, I just did quick math on using an 8% number, but I was coming out with roughly $199 million, which is slightly above the Q2 consensus. Is that in the ballpark where you are targeting?
Christine Kline: No. I think a little bit lower than that.
Eric Martinuzzi: So, close, okay. Okay. Alright. So, 7% would be $197 million, and we are still in the neighborhood then or am I still…
Jerome Grant: Here you go...
Christine Kline: Yes. That’s in the neighborhood.
Jerome Grant: It’s in the neighborhood.
Eric Martinuzzi: Okay. And then the expense, I just want to make sure I have got this sized up. In Q1, you guys came in an operating expense of – I think it was $174 million I overshot in my own model, I think I was at $179 million, but that outlook for Q2, what’s the snapback in the investments that you held off on in Q1. Can you size that either percent margin-wise or raw dollar wise for Q2?
Christine Kline: I would say about quarter-over-quarter, it would be about $10 million more.
Eric Martinuzzi: Got it. Okay. Thanks for taking my questions.
Jerome Grant: Sure. Thanks Eric.
Operator: Our next question comes from Mike Grondahl from Northland Securities. Please go ahead with your question.
Mike Grondahl: Hey guys. Thanks and congrats on another nice quarter. I wanted to dig into new starts a little bit. At Concorde, they were up 26%. And you guys called out marketing efforts and admission efforts, you have called that out for a couple of quarters now. And I know you are kind of turning the dial up there. Can you talk a little bit about what you are doing specifically, and maybe how much more is left?
Jerome Grant: Yes. Well, you are exactly right, which is we are continuing to turn the dial in collaboration with the marketing organization, the agencies we use at Concorde, looking for more innovative ways to reach out to more students in those local markets. And we are seeing – as you can see from the results this last quarter, we are continuing to see nice results out of it. Calling the hard pack is a really difficult thing to do, right, because we are going to continue to invest, and we are going to continue to invest more aggressively in it, continuing to look for that. So, two things will happen. One, we will start to see some diminishing returns somewhere along the line. Remember, healthcare is a very local endeavor. Students don’t tend to travel more than 10 miles to 20 miles to go to a healthcare school. And so there is going to be some population demographics that may start to see some bending in terms of that. And then there are some areas that have caps where we are not allowed to enroll more students in it, and we are approaching that. That doesn’t mean, we won’t then subsequently work on once reaching the caps on increasing the caps because the demand for these graduates is still very, very high. And so we are going to keep turning the dials as you called it. And I can’t tell you exactly where we hit the bend, but we will. And then also there is this cap issue. So, we will have to play it one quarter by each.
Mike Grondahl: Got it. And then Jerome, from time-to-time, you have talked a little bit about the macro environment and gosh, if we go back 2 years, the trades kind of had some headwind against them and maybe starting early ‘24, more positive articles about trades versus 4-year schools. I think about that time you described the macro is maybe more neutral, has that neutral become a tailwind yet, or I guess I would love to hear kind of your update on how you feel about the macro and kind of trades versus 4-year school.
Jerome Grant: How about this, we are playing in a very healthy environment right now, right. Whether I am feeling the wind – or my back on that is a day-to-day occurrence. But the friction is clearly – is clearly subsided. It’s a healthy environment. We are having great conversations with students weighing the differences between potentially a 4-year liberal arts education and getting to work within a year, making a good wage. And there has been a lot of positive press in the direction of people being more practical and thinking about these vocations as a great alternative. And the demand for these, as we call skilled collar workers continues to increase. And so we are having much better conversations. Our lead flow is quite high. We are thrilled with where our lead flow is this year, even at the investment levels in which we expected to make rather than increased investment levels. And I think you can also tell by increasing the investment levels in that lead flow that we are sensing that we have an opportunity to really take advantage of some trends in the market, and we are doing that.
Mike Grondahl: Yes, definitely. Okay. Thanks a lot.
Jerome Grant: Sure.
Operator: Our next question comes from Steven Frankel from Rosenblatt. Please go ahead with your question.
Steven Frankel: Thanks. Jerome, looking at that M&A landscape that’s out there does – I appreciate the comments that activity has picked up. What are the price expectations like – of the sellers? Do you – are there any reasonable expectations out there, or do you think there is going to be a bit of a back-and-forth process to get to the kind of multiples that you are comfortable paying?
Jerome Grant: Well, I guess my point of view on is my bet is there will be a few transactions over the next year. And you want to understand that it takes a while with the regulatory environment, no matter who is in-charge to move transactions over the finish line. My gut would be that there will be a couple of transactions this year. Our participation in that really does have a lot to do with a couple of things. One would be, dose multiples. And frankly, we are hearing more reasonable numbers now that we are out there. We are still – never totally satisfied with what you hear, but we are hearing more reasonable numbers. And the second thing that we are maniacally focused on is that the target needs to have really great outcomes. We have built up a reputation of executing at a high level, over 70% graduation rates, 85% employment rates. These are very good numbers and we want to make sure that two things. One, we are not diluting our shareholders by pricing, getting priced out of the market. And number two, that we are not diluting our outcomes, which we think is significantly what drives our business.
Steven Frankel: Okay. That makes sense. And then on that outcome issue, where are you today in employers jostling each other to get in front of your students? Are we still in an environment where you are seeing better offers, better tuition reimbursement, things like that from potential employers or has that settled?
Jerome Grant: We are and again one of our main strategies has actually been to bring the employers into the process much earlier and join with our students during their educational process. One good example of that is Tesla coming into our Long Beach campus with their collision repair program. They are paying for the students to go through those programs and taking collision repair graduates through their finishing program. Bringing them down into the process with them is doing two things. One, it’s giving students more confidence that they are going to get a job. And it’s also increasing the competition among our employers because they are, frankly, afraid that the good ones will be gone by the time the end of the process is there. And so that’s all helping wages grow.
Steven Frankel: Great. Thank you so much.
Operator: [Operator Instructions] Our next question comes from Jasper Bibb from Truist. Please go ahead with your question.
Jasper Bibb: Hey. Good afternoon everyone. I wanted to ask how we should think about the respective new enrollment growth rates for UTI and Concorde segments on the new guide. Does that assume Concorde continue to outperform UTI, or how would you frame those relative growth rates?
Jerome Grant: Yes. I think proportionately, if you look at the overachievement in Q1, it was proportionate. Now one of the things we called out was that the UTI enrollment increase versus our expectations, have a lot to do with people moving from the fourth quarter to the first quarter because of FAFSA delays and frustrations around that. And as I have said, we are seeing pretty much UTI is operating to plan. And again, we have owned UTI for 60 years. There is a lot more predictability around what UTI is doing. While we are continuing to turn the dials on testing how much elasticity there is in the demand in the healthcare space. And so as we projected, we see probably a larger increase on the – organically on the Concorde side, while we continue to do that.
Jasper Bibb: Thanks. And then to confirm something from an earlier question, the expense was supposed to hit in Q that was deferred out of the quarter was $10 million, and you are expecting that should all hit in the second quarter. Maybe beyond that clarification, just how should we think about the cadence of margins over the next couple of quarters implied in the guide?
Christine Kline: So, it’s probably maybe $10 million to $15 million and…
Jerome Grant: But that’s not everything that pushed. We expected to spend more in the second quarter. It’s probably only closer to $5 million or $6 million of the money that deferred out of the first quarter and into the second quarter. So, second quarter was going to be higher anyway. And it’s even higher because of the timing of the expenses that we didn’t get going in Q1 that we are already focused on right now in Q2 and into Q3.
Jasper Bibb: Okay. So, the deferred expense is $5 million to $6 million and the sequential increase to $10 million to $15 million. Yes. That makes sense. And I was just following-up, any color on how we should think about margins in the third quarter and fourth quarter, or how do you see that trending over the balance of the year.
Jerome Grant: Christine, I will handle that one for you. Contour, the margins throughout the year or Matt?
Matt Kempton: Yes. They dropped. They will be – in terms of EBITDA margins, probably low-double digits for second and third quarters, and then you will see our seasonal jump in the fourth quarter will be upper teens, is what we would expect.
Jasper Bibb: Okay. Great. Thank you.
Jerome Grant: Thanks Jasper. Thanks for calling. Appreciate it.
Operator: And ladies and gentlemen, with that, we will be concluding today’s question-and-answer session. I would like to turn the conference call back over to Jerome Grant, CEO, for closing remarks.
Jerome Grant: Thank you very much, operator. We appreciate everyone’s attention and taking their precious time out of their day to listen to us. We are looking forward to once again reporting three months from now. So, thank you very much.
Operator: Ladies and gentlemen, with that, we will conclude today’s conference call and presentation. We do thank you for joining. You may now disconnect your lines.